Operator: Good morning. My name is Carmen, and I will be your conference operator today. At this time, I would like to welcome everyone to Savaria Corporation's Third Quarter 2025 Conference Call. [Operator Instructions] This call may contain forward-looking statements, which are subject to the disclosure statement contained in Savaria's most recent press release issued on November 5, 2025, with respect to its third quarter 2025 results. Thank you, and I will turn the call back to Sebastien Bourassa. You may begin your conference.
Sébastien Bourassa: Thanks, Carmen, and good morning, everyone. Today, I will start with a small recap of our Q3 results, then Steve will update us on financials, and JP will provide an update on Savaria One, followed by a Q&A session. First, I need to thank all the employees at Savaria for their contribution over the last 2 years. Without you, we never had the success that we had in the Savara One program. Once again, I'm very proud of our Q3 results as for the first time ever, we reached 21.2% of EBITDA. Some of the key highlights of the third quarter, best gross margins ever at 39.2%, which is a direct result of operational improvement, procurement and pricing initiative, which JP will go a bit later more in details. Fantastic performance of the Accessibility segment with 23.5% of EBITDA margins, which saw a good contribution from North America and also from Europe. And I think it has been a big transformation in Europe in the last 2 years. So congratulations team. Patient Care was lower at 18.3%, but better than the previous year. The backlog remained high, and we are getting ready for a busy Q4. We won 2 AEs in North America, one for Matot and one for Savaria and also one in Europe for Handicare for the best accessibility supplier. So congratulations to the team. Growth has been decent in the third quarter for North America accessibility, but overall, as a company, growth is below what we target. So what are we doing to address that? First, Maya product line and the Lumar Tuder floor will continue to see a very high interest from our dealer, and we will definitely see some organic growth in 2026 around those products. Many of our dealers are putting Bluemont into their showroom because they believe in this and the opportunity. The team in North America has spent a lot of time this year to do some training with and into line products to architect. It's always an investment which this will pay off in the future. Our Savare Phase 2 planification is almost over and we will be ready definitely ready in April 2026 to unveil this new 5-year strategy, which will be very focused on the growth. In the last 2 years, we have been very disciplined and improve a lot the bottom line. And we believe with the same discipline, we'll be able to improve the trajectory of the growth as we operate in a very nice industry with the aging of the population and also the density in the cities, it bring more tunnel development where elevator is definitely a nice investment. Also in the last year, we have increased a lot our R&D team. So we went from 50% to 62% so that we can continue to improve existing product, develop some new products that will remain the #1 choice for our dealers. Also, our R&D process is better than ever. Early next year, we'll be changing our brand name in Europe to be Savaria as we start to have more products similar to North America, and we become closer to the one-stop shop. We had a small management change in third quarter in Europe. After 20 years, Claire decided to leave the company. So thank you for your last 20 years and JP has applied for the position since November and is now President of Europe, and we continue to assume the role of CTO, which is now more on the strategy for the future. We are excited about this change as JP is a fantastic team player and a leader that will continue to bring cyber culture in Europe. With 1 quarter to go, we kept our guidance unchanged for the revenue as we always give annual guidance and not quarterly, and we believe that we have a chance to finish close to it. And we update our EBITDA to stay slightly above 20%. As for now for the first 9 months of the year, we are at 20.1%. Our net debt-to-EBITDA ratio continued to improve, is now sitting at 1.19 with $290 million available funds for investments in the future or acquisition M&A. So we'll be ready for the future. Also at the end of the year, it is the end of the Savaria One program. So right away in 2026, it's an improvement of $0.17 per share for the full year. Last, again, I want to thank all the employees for their efforts over the last 2 years on the Savaria One program. Steve?
Stephen Reitknecht: Thank you, Sebastien, and good morning to everyone on the call. I am really pleased to share with you today some remarks regarding our Q3 2025 consolidated financial metrics. So key highlights for the quarter include, first and foremost, achieving and surpassing our 20% adjusted EBITDA margin target for yet a second quarter in a row. Our Q3 margin of 21.2% is another high watermark for us, and our 2025 year-to-date margin is now at 20.1%. Secondly, gross margin increased year-over-year by 220 basis points to 39.2% in Q3, mainly through Savaria One. And lastly, strong free cash flow with operating cash flows up 16% this quarter compared to last year, contributing to our Q3 ending leverage ratio of 1.19. So now looking at consolidated revenues for the quarter. We generated revenue of $224.8 million, an increase of 5.2% versus last year. This is driven by organic growth of 1.8% as well as a positive foreign exchange impact of 2.5%. Our Q2 acquisition of Western Elevator, a dealer in the lower mainland of British Columbia, provided revenue growth of 0.9%. Our Accessibility segment saw growth of 6.1%, including growth of 7.7% coming from North America, combined with a growth of 3.6% coming from Europe. Patient Care had revenue growth of 1.9%, driven mainly by increased sales within the United States. As previously noted, our consolidated gross margin for the quarter was 39.2%. This performance represents a marked improvement of 220 basis points over prior year, driven largely by continued operational efficiencies realized under Savaria One as well as some operating leverage. Both segments contributed to this gross margin improvement, underscoring the effectiveness of our ongoing initiatives to streamline operations, enhance margin quality and drive sustainable growth. Now adjusted EBITDA was $47.6 million for the quarter, representing our strongest performance to date as well as the sixth consecutive quarter above the $40 million threshold. Adjusted EBITDA margin finished at 21.2% for the quarter and more specifically, 23.5% for Accessibility and 18.3% for Patient Care. Accessibility margins improved 220 basis points and Patient Care margins improved 90 basis points. This performance enhancement is primarily driven from the improvements in gross margin, which have been powered by Savaria One. We incurred $4.7 million in strategic initiative expenses for the quarter, which was in line with our expectations. These fees are mainly consulting costs and will repeat in Q4, but will be finished thereafter. Removal of these costs will add a significant boost to our cash flow starting in Q1 2026. Finance costs were $2.2 million for the quarter compared to $6.9 million last year. Interest on long-term debt decreased by $1.7 million when compared to last year, impacted by reduced variable interest rates on our debt as well as a lower overall debt balance. Included in finance costs, we also recorded an unrealized FX gain in the quarter of $1.1 million. This all results in net earnings of $19.5 million for the quarter compared to $11.2 million last year and driving an EPS of $0.27 per share for the quarter, an $0.11 improvement or 69% improvement over last year. I'm now going to look at the balance sheet and cash flow. Cash flow for-- excuse me, cash flow from operating activities in Q3 was $41.5 million, which is an increase of $5.7 million versus last year, coming from higher net earnings generated combined with lower net income taxes paid. Working capital decreased by $3.6 million in the quarter, mainly coming from decreased accounts receivables and slightly offset by higher trade payables -- sorry, excuse me, lower trade payables. For the year, we're achieving our working capital targets. CapEx for the quarter finished at $5.7 million, which is 2.5% of sales. And on a year-to-date basis, we have spent $15.2 million on CapEx, which represents 2.3% of sales and was -- and is within our annual range of 2% to 2.5% of sales. This includes a mixture of maintenance and new expansionary CapEx, including new equipment for our Greenville site. Free cash flow after debt-related costs and dividends in Q3 was $20.6 million for the quarter, which is a significant improvement of $7 million or 51.5% when compared to last year. This strong free cash flow contributed to a repayment of debt of $11.5 million in the quarter and reduced our leverage ratio to 1.19 as at September 30 compared to 1.63 at year-end 2024. This puts us in a very healthy position as we eye future growth plans and other opportunities that lie ahead for us. With regards to guidance, as Sebastien mentioned, following current quarter results, we have left our revenue forecast unchanged at approximately $925 million of revenue for the year, and we have adjusted our-- adjusted EBITDA margin guidance to be slightly above 20% for the year. This adjusted EBITDA margin target was achieved in Q2 and Q3, and we expect it will be achieved for the last quarter of 2025 based on the continued value of Savaria One that we have in front of us. And with that, this completes my prepared remarks. I'm now going to turn the call over to JP to provide further details on how we're progressing with Savaria One. JP?
Jean-Philippe Montigny: Yes. Thank you, Steve, and good morning, everyone. We continue to deliver very strong business results in Q3 and not only expanded our profitability versus last year, but also grew our business. We feel great about our momentum as our improvement initiatives across Savaria are not only showing in our margins, but also now on the top line. As you saw, our EBITDA grew by $5.8 million or 14% versus last year, which is almost 3x faster than our sales grew in the same period. We're now at 21.2% EBITDA in Q3, which is above our 20% aspiration, yet we continue to implement various initiatives across the business to expect more growth, but also possibly more profitability improvements ahead as we, for example, implemented more than 60 initiatives worth millions of dollars in savings just this past quarter. I believe we're largely internalized the new way of operating the business now that we are several quarters into our transformation. We not only continue to deliver more improvements to the business each month, but our teams are also generating new ideas and new initiatives at a faster rate than we complete the old ones, which shows to me that we are more autonomous than ever. As a reminder, we had very little support from external consultants in Q3. So what are some of the highlights from Savaria One this quarter? One is in North America and in Australia, where our direct stores are doing great. They're showing steady growth, and delivering record levels of profitability. And we think that is thanks to the great efforts of our leadership team managing those stores, but also the teams in each store, including our sales team and our installation and service teams. What happened is we've put together a strong organization in place with competent managers overseeing the network. And also, we've been managing each of those stores and sharing best practices across them. Also, all the acquisitions that Savaria made historically of direct stores have been a commercial success over time. And yet, we think there's still so much more to do with our direct stores, notably in developing the markets in which they operate and increasing the adoption of our products and in particular, for home elevators. So there's more room for growth ahead of us. Also, we continue to generate savings in our operations in our European accessibility business to reduce lead times for our installations by working with our logistics providers so we can get our products to our customers faster, but also at a lower cost to the company overall. We also developed new processes that reduce the waste in our production system, in particular in regards to electronics, which reduces our overall product costs. We also continued to move some work packages between our factories to generate economies of scale and leverage best country sourcing and finally reduce our labor cost overall for SMB. We're also now experiencing pockets of growth in Europe. If you recall in the past quarters, we've been focused on improving profitability in Europe, sometimes at the expense of top line, but we can now say we're building on very strong foundations with an efficient business, and we're reengaging with growth. Sales continue to be slower in some markets, but we see good momentum overall. In Q3, we also worked on developing our next strategic plan, which we will unveil next year. It was a great opportunity for us to take stock on our performance over the past years, especially since we started Savaria One, also look at the position we occupy in each market. And for what it's worth, it shows we have a very solid foundation on which to build, but we still have lots of room for growth and value creation ahead of us. Yet, I will wait until our next Investor Day for more details. Before wrapping up, I just wanted to say a few words on my new role. Starting November, I took responsibility for our European operations, and I will be relocating to Europe starting January 2026. I will continue to orchestrate the execution of Savaria One and the execution of our next strategic plan that we will present shortly, but we'll focus and shift the bulk of my time and attention to accelerate the transformation and the growth of our business in Europe. I want to thank Sebastien and the whole team here for this opportunity, but also thank and congratulate my new team who I believe are already doing a great job. I hope and I'm confident that my addition to the team will accelerate the positive trajectory that we started in Europe. Thank you...
Sébastien Bourassa: Thank you, JP. So just one thing that I want to add also is that we did not talk about UMSC compliance. So we continue to be UMSC compliant, and we continue with our Greenville expansion. As of right now, we manufacture 40% of our home elevator Eclipse in Greenville, South Carolina. So thanks for the team over there for your great work. And we are on track for our expansion in Greenville to be ready in the second half of 2026. So on that, Carmen, I believe we are ready for some questions with our analysts that are doing a fantastic job to cover Savaria.
Operator: [Operator Instructions] Our first question is from Kyle McPhee with Cormark Securities.
Kyle McPhee: Great performance. I just wanted to talk a bit about the margin path. So you delivered another lift for margins in Q3. You passed your Savaria 20% goal. It seems like you're attributing the success all to permanent types of dynamics. So correct me if I'm wrong, but is it fair to say this is a new normal type of profile for Savaria. There was nothing temporary about it in Q3, no one-off benefits. So you can hold on to these types of gains and likely even be building on them as you get OpEx leverage with the growth on the comp. Is that all fair?
Sébastien Bourassa: Thanks, Kyle, for your great work. Yes, definitely, I think the 20% mark for me, I will be very disappointed to go backwards. I think that has been very steady in the last few quarters, always a marginal improvement. And it is really -- the success is really linked to improvement, procurement and pricing. And I don't think it is a one-off. I will be very disappointed. So what is next? I think right now, we have committed to the 20% for this year. And hopefully, in our Investor Day next April, we can discuss a lot more color over the next 5 years where we could go.
Kyle McPhee: Just maybe as a quick preview of what you will be discussing when you do that, is the forward margin expansion still on offer largely just OpEx leverage from all the growth themes you'll be talking about? Or are there still meaningful cost and efficiency stuff on offer?
Sébastien Bourassa: Great question again. So definitely, in the last 2 years, we have developed a good mechanism that the employees never stop, to contribute to bring some new ideas to the table. So I don't think it will be the end. But one thing we need not to forget is when you do growth, sometimes you need to make some investment. You example, open a new showroom in one location, you add some sales force. So -- and when you do acquisitions, very often, they are not at 20%. So we've got to be careful on that. But definitely, the legacy business, okay, why it could not continue. I'm hopeful for that. But grow grow grow. This is why when we call any of our employee in the last 2 years, I think they will have answered you the target was $1 billion, 20%. When we call any of our employees after next April, I want to make sure that they can answer you where they see the growth, what they will do to achieve the growth. So we'll make sure that the message is well aligned across the organization.
Operator: And our next question is from Michael Glen with Raymond James.
Michael Glen: So first, can you just talk a little bit in a bit more detail about North America, the organic growth there in the quarter. Is this primarily related to residential elevators? Can you speak about some of the other product categories, stairlifts, platform lifts as well?
Sébastien Bourassa: Yes. So definitely, North America, again, in the last 2 years, it has been quite solid, okay? And I would say that really the one-stop shop with the mix from home elevator to vertical platform to low-rise commercial to stairlift and to the new product model this has really contributed okay? So now it's a mix factor. Unfortunately, North America, we have been quite good with home elevators across the Savaria brand and the Garaventa brands. And I think this is something with townhouse development, the density in the cities, all the work we do with architect, contractor, builder is definitely paying off. Stairlift, we have not been always perfect in Stairlift in the last few years, but now our manufacturing lead time is state-of-the-art. We are maybe making some effort, and this is something that hopefully in the next few years, we can have also a very good growth around Stairlift. So no, I think it's not the end on the North America. It will continue.
Michael Glen: Okay. And -- but would you -- like for the quarter, the bulk of the growth was in residential elevators, you would say?
Sébastien Bourassa: Unfortunately, we are borrowing. We don't disclose per product. Otherwise, it start to be picky next quarter will be the same question, but home elevator, if it can help has been good for sure.
Michael Glen: Okay. And Sebastien, just on what you see, can you frame for us what you see out there in terms of the M&A market for dealers. Maybe first provide an update just on the Western Elevator acquisition and then some framing about what the market size for dealer M&A might look like?
Sébastien Bourassa: For sure, it's always a tricky question a bit. But if we look at the past, in the past, we have often did 1, 2, 3 acquisitions during the year. And I would say a mix of dealers that, again, a dealer wants to exit the business. We are one of the suppliers. It's very natural for us, we're a natural buyer for that. So definitely, this is something that could continue in the future and will continue. and also product, okay? We have liked to buy some small manufacturer in the past like May [indiscernible] that has been a fantastic integration, and we're pushing it to the next level. The Visilif acquisition, which is now the VueLift has been fantastic also for them to promote our home elevator. So definitely, product and dealers is very natural. And Western, yes, since May are in a family, I would say right now, it's pretty much fully digested. We are operational. They are contributing to the equation. And now they are buying all their products with Savaria, which before was more like 80%. So definitely, it has been a great acquisition so far.
Michael Glen: And are you able to just give some thoughts on to what you've been able to achieve with revenue growth and margins at Western since you acquired it? Anything qualitative you can provide?
Sébastien Bourassa: I will say, again, we don't disclose all our different things, but I would say we're probably in the -- it's very early, but in the mid-teens is probably where we are.
Operator: Our next question comes from Frederic Tremblay with Desjardins Capital Markets.
Frederic Tremblay: JP, congrats on your appointment. I know it's maybe a bit early for that, but can you give us a bit of an idea of what your priorities for 2026 will be in Europe?
Jean-Philippe Montigny: Yes. But I guess it will be aligned with what we disclosed next April, but the priority now is mostly to grow the business, simple as that. And we have many ideas to do so. Yes. we have any further questions.
Frederic Tremblay: No, no, that's fine. We'll get more detail on Investor Day, I guess. But that's good. Just wanted to ask maybe on the backlog for home elevators on the direct store front. Sebastien, can you maybe characterize that backlog a little bit and give some context as to sort of where it stands relative to past quarters?
Sébastien Bourassa: I would say it's very similar. So the backlog is quite good. For sure, in our direct store, we tend to have a 6 to 12 months backlog because, again, typically, we -- if you do a good project, you should sign a contract with your dealer before you start to build your house. Otherwise, then we can do project management to make sure your renovation, your will be correct. So I think that's definitely happening. And in the factory, again, typically, we have good lead time, which is more around 1 month. So -- but definitely, the backlog is there is good. So that's why we're confident about the Q4.
Frederic Tremblay: Perfect. Maybe last one for me, more on the, I guess, the macro context or the impact of macro uncertainties on customer behaviors. Are you seeing any sort of trade down at all from customers like maybe people choosing less custom options on certain elevator products or moving down from a price perspective in terms of the accessibility products? Or is the demand and the price elasticity is still pretty good overall?
Sébastien Bourassa: No. I think, again, we see some pretty good options. We are much better than we were. Today, when you see us, you don't just have a home elevator plain Mine. We have touchscreen CP, all kind of door flus door, swing door, sliding door glass. So we have high-end Cabo. So really definitely, again, if you're going to put an elevator into a home, you need to look at it in an investment. You will have a home elevator for the next 15, 20 years. So the extra 10,000, 15,000 can make a huge difference to have a wow instead of just, oh, you have an elevator. So definitely, there's no big change. And I think all the work with architect, contractor, is continue to be high. And even 10 years ago, people were not thinking about putting home elevator, Fred. And today, even if you have a townhouse of 4 floor, the price of townhouse, example, in Toronto is very often over $1 million. So if you can put a home elevator that might be cheaper than your kitchen, that help you to resell your lev house at a better price. If you bring your parents to your house, but you can have them for a weekend, you want to bring your luggage up and down. So there's so many advantage to have a home elevator into a home that, again, the penetration is still too low. So that's why even if there was less construction one day, doesn't mean the home elevator could not go up because, again, the penetration of home elevator, I think, is just going up every year. And after that, Fred, example, the LUMA is an aftermarket product. It's a truer floor, very easy to install. So I think this, again, will help us also for the future growth.
Operator: Our next question is from Razi Hasan with Paradigm Capital.
Razi Hasan: Just on Europe, nice to see growth year-over-year. Can you just talk about how the market is receiving your improved pricing and how cross-selling is going in the region?
Sébastien Bourassa: Your new President in Europe, you want to answer?
Jean-Philippe Montigny: Yes. So you talked about cross-selling. What's the other question, sorry?
Razi Hasan: And just the improved pricing you have in the region and how it's being received by buyers there.
Jean-Philippe Montigny: Yes. So let's start with this one. So we improved the pricing in 2 segments in the direct business and in the dealer business. In the direct business, honestly, it's been sticking quite well, right? So that's one thing we did well in Europe is we improved the profitability of our direct businesses by making price adjustments, and there was no impact on sales or on conversion. So we essentially captured all of this. In some of the dealer business, what happened maybe more retrospectively in the last 1.5 years is we did increase prices in some place where it was, let's say, less attractive for us, and this had an impact on some parts of the top line, right? So that's what you've seen in our results. But from this year, for example, we had more adjustments to pricing that really -- than really big changes, okay? So this year, we don't see pricing as having an impact on our top line. And it's also -- I mean, that's a factor that is now contributing to the fact that our top line has stabilized for everything that is with dealers, and we are seeing positive momentum now. So I would say the answer to the pricing question is it's been -- this year, it's been actually positive or it's good reaction. In terms of cross-selling, so we have some successes in cross-selling. So some of the, for example, initiatives we had was to cross-sell the VueLift, which is the one home elevator we can sell in Europe and as well as sell some of our products like the multi-lift. So now the LUMA is also another product we're cross-selling. So I would say it's early days for LUMA, for example, we're just starting to sell some units. And for Multilift, same thing. We have a new product that has been launched this year. So we're seeing some cross-selling success there. So we are having success, but obviously, it's still very small in proportion to the business. So we have more room for growth there.
Razi Hasan: Okay. Great. And then just thoughts on capital deployment with low leverage and good liquidity. Can you just maybe highlight what your priorities are for capital?
Sébastien Bourassa: Sure, Rai. So looking at what we're doing with the capital, we're going to continue to pay down debt. I mean our leverage ratio is fairly low at 1.19. And we're going to continue to pay that down and also basically get ready for acquisitions. So our plan is to grow organically, but also through acquisition, which we're going to talk a lot about at our Investor Day. But -- we're not going to be doing anything different with dividends or buybacks. We're just going to continue to lower our leverage until we use those funds for acquisitions and then we'll be levering up for those. So not going to be a large change. Most of our acquisitions are more or less going to be tuck-ins and some other maybe sizable ones, but nothing sort of sizable like Handicare that we're looking at right now.
Razi Hasan: Okay. And maybe just last one for me. Just in terms of EBITDA margins for Q4, anything that could potentially impact the level from Q2 and Q3 that you've seen heading into Q4 or it's just more of the same?
Sébastien Bourassa: Sometimes the product mix can be slightly different. But again, I think I would be very happy to repeat what we have done in Q3. So let's see.
Operator: Our next question is from Max Shiovsky with Stifel Canada.
Justin Keywood: This is Max on for Justin Keywood, Stifel. Could you guys give any further detail on the makeup of sales channels in patient care? And if there's any seasonality to institutional buying patterns just generally in Q3? And I know despite accessibility sort of being the focus, what can we expect from Savaria in patient care as you repivot to growth?
Sébastien Bourassa: Again, I think if we look at last year, we know that last year, we have delivered a very strong Q4 and that brought a decent organic growth for the year. So it's a bit the same expectation for this year. Basically, we have built a certain backlog, and there's a bit of season in the patient care business. And definitely, I think Q4, we should see a strong performance. And again, typically, we're stronger in the long-term care than we're in acute care. So long-term care is bed mattresses and sitting lifts. So definitely, that's going to be our strongest segment. And it's quite balanced between Canada and U.S. really.
Justin Keywood: Okay. And yes, hats off to the progress on efficiencies and margin over the last few quarters. But I guess, do you guys feel well equipped with the internal team that you've assembled and the work you've done to launch on the second stage of Savaria 1? And should we expect any incremental strategic costs associated with that like we saw with Savaria 1?
Sébastien Bourassa: No, definitely, our strategic costs are coming to an end that will make a big difference next year in our cash flow. And I think the team is better than ever. And what is important in the last 2 years, there has been a lot of training done with all our employees. So right now, we have done several Phase II planning internally, a bit challenged by a consultant. But at the end, definitely, the team is very capable. So I think we are in better shape than ever for the future. And I think in the first 2 years, we have been very disciplined with date with value. And I think this is a spin that we'll be able to continue going forward. Again, to understand that it takes time. We cannot do everything at the same time. So it's important to stage things correctly that we continue to move forward, right?
Operator: One moment for our next question. It comes from Zachary Evershed with National Bank Capital Markets.
Zachary Evershed: Congrats on the quarter. For accessibility in Europe, can you give us your thoughts on how the broader market is adapting to the absence of some subsidies?
Sébastien Bourassa: JP?
Jean-Philippe Montigny: Well, I guess, to adapting, I guess it's more reacting would be my answer in the sense that let's take Italy, for example, right? So we did measure the impact of the reduction in subsidies on the market because there are ways to measure it, and we saw a very dramatic reduction of the market in line with what we're experiencing ourselves, okay? So I'd say the market is adapting to it in the sense that they -- everybody has to scale back a little bit. We did scale back our costs in Italy to adapt, right, in our case. So that's been the reaction. I think that's all I can say.
Sébastien Bourassa: Yes. And I would say maybe to add something, JP. I think also Zach, as we add new products, example, Through-the-floor, home elevator, VPL, those products are much less subsidized. So I think as we bring diversification that will make us much less dependent on the subsidies going forward.
Zachary Evershed: Good color. And then for my second, we were expecting a bit more CapEx this quarter. How are you thinking about the pacing of investment in the Greenville expansion?
Sébastien Bourassa: I know Zach, unfortunately, permits takes time in life. So we're expecting to break the ground in January to be ready in the second half of next year. So, so far, we did some CapEx, again, some small CapEx. We have been able to maintain more or less our guidance for the year. But again, a slightly higher CapEx will be for next year, but still we try to be diligent. We are wrapping up our budget for next year, and we try to be diligent that at the end, we cut maybe somewhere to allow some CapEx because of Greenville. So I'm not expecting something extraordinary next year, even though we expand in green.
Operator: One moment for our next questions. And it comes from the line of Kyle McPhee with Cormark Securities.
Kyle McPhee: Just on that Greenville expansion, can you remind us or give us the updated total CapEx budget for that? And then also just remind us on your manufacturing capacity situation ahead of your spring Investor Day that sounds like it's going to be highlighting a lot of growth themes. Do you have capacity to support the next growth wave without having to incur a CapEx?
Sébastien Bourassa: Thank you. So basically, as our previous press release, okay, the investment that we want to do in Greenville is approximately CAD 30 million. So I think as we progress, we'll be able to put more color. For sure, it's not $30 million for the expansion. It's for some equipment as well. So I think we will see. And after that, really a footprint, I think right now, we have approximately 12 factor like a 1.1 million square foot of footprint. And unfortunately, most of our factory just work on 1 shift. So I think we have plenty of capacity for the next 5 years. So I don't see any major change in our footprint in the next 5 years unless there's some M&A. That's it.
Operator: Our last question comes from the line of Carl Abudobi with Scotiabank.
Unknown Analyst: This is Carol on for Jonathan Goldman from Scotiabank. Really nice performance in accessibility margins, I think an all-time record. I believe Q4 margins are seasonally weaker, but it seems like you still have room on Severia 1. How should we think about the sustainability of margins?
Sébastien Bourassa: I think margins has been very sustainable in the last 2 years, and we always see a bit of improvement each quarter. For sure, yes, Q4, yes, there's Christmas time, there's that. So it's a bit too early to comment. But we think that the over 20% for the food group of Sava we'll be able to maintain in the fourth quarter. So I'm not too worried about that. And I think going forward, we have a good plan, as we said a bit earlier, to continue to improve margins each year, but also to have some growth expansion, which is a key focus for the future.
Unknown Analyst: Okay. And could you also provide a teaser for the Savaria 2.0 initiatives, if possible?
Sébastien Bourassa: I think the teaser will be in April. And I think it will be really around growth, growth. So every decision that we make, does it have an impact on growth. So we decide to do R&D project, is it going to bring growth or not? Does it mean we'll not do an R&D project, it's going to improve some quality or make it for regulation for the code. But definitely, as we do M&A, is this going to add, for the synergies and to bring some growth. So definitely, growth we want this to be in our first line of discussion on most of the decision.
Operator: Thank you. Ladies and gentlemen, this concludes our Q&A session. I will pass the call back to Sebastien Bourassa for final comments.
Sébastien Bourassa: Thank you, Carmen. And lots of very interesting questions this morning. So thanks for taking the time. And again, one more time, thanks for all the Sav employees and looking forward to see you again in March. Thank you.
Operator: And thank you all for participating. You may now disconnect. Everyone, have a great day.